Iris Eveleigh: Hello, everyone. Dear analysts and investors, welcome to our First Quarter '23 Financial Results Call. Thank you for taking the time to join us. Today, I'm here together with our CFO, Marc Spieker, who will give a brief update on our financials. As always, we will leave enough room for your questions after the presentation. With that, over to you, Marc.
Marc Spieker : Thank you very much, Iris, and a warm welcome as well from my side. Looking at our first quarter results, let me highlight 3 messages. First, we have seen a strong financial and operational first quarter in both our business segments, Energy Networks and Customer Solutions. As you would expect, this performance was driven by investment-backed organic growth as well as solid business execution in volatile commodity markets. In addition, we have seen positive timing effects that I will elaborate on later. Second key message, we confirm our 2023 outlook. We still keep a cautious stance on our assumptions. For our investors, this means we will deliver financially independent from market volatility or even a resurgence of the energy crisis. Third message. The energy transition is accelerating. Our CapEx program is ramping up as planned. This fully underpins our 5-year green growth program in all of our midterm pledges. Let's start with the details of our Q1 results. Our adjusted EBITDA came in at €2.7 billion, roughly €900 million above prior year's first quarter core EBITDA. In our Energy Networks business, growth came from CapEx-driven RAB expansion in all countries as well as an accelerated recovery of network losses in our European business. Additionally, we are seeing temporary upside from significantly lower than assumed commodity prices. This commodity-related upside is specifically related to the so-called redispatch cost in our German networks business and is ultimately a pass-through item for our P&L. And as usual, the pass-through comes with a time lag. Fundamentally, redispatch costs are driven by the need to curtail volatile renewables production in times of network congestion. In case of curtailment, DSOs provide financial compensation to affected producers based on actual market prices. The DSOs cost for this compensation is nevertheless is undercovered by the network tariffs. Any mismatch in the tariff assumption versus the actual outturn will be balanced via the regulatory account with a time lag of t+3 and then spread over 3 years. Thus, economically, all of these effects are neutral. The network tariffs for 2023 were for obvious regulatory reasons, already calculated beginning of the fourth quarter in 2022. We assumed much higher wholesale costs than those materializing year-to-date. This has led to materially positive Q1 impact. Let me stress that the final impact for the full year 2023 will depend on the weather-driven outturn as well as the development of wholesale prices during the remainder of the year. So it's going to be a volatile effect. We will keep you posted as the year progresses. Moving to our Customer Solutions business, where we achieved an adjusted EBITDA of €0.8 billion. This €400 million year-over-year increase is largely driven by a normalization of our retail margins after a particularly weak Q1 2022. It is worth mentioning that we returned to the positive earnings territory also in Romania because regulatory conditions have normalized. On top, we achieved procurement optimization gains in Germany and the Netherlands in the low triple-digit million euro area. As announced, we stopped reporting a noncore segment. The remaining contribution from our German nuclear operations in 2023 is being disclosed now as part of our nonoperating earnings. The Corporate Functions and Other segment slightly improved year-over-year largely because the segment now includes the Turkish generation business, which formerly was reported under the noncore segment. Our adjusted net income shown on Page 4 shows an increase fully in line with our adjusted EBITDA. Notably, the economic interest result in the first quarter is still in line with prior year. Higher refinancing costs were still compensated during the first quarter by higher earnings from cash deposits. However, by year-end, we expect high economic interest expense in comparison to last year. Now moving on to an update on our bad debt development. Despite further price increases since the beginning of the year, the payment behavior of our customers remains unchanged in all our markets. We continue to build earnings effective bad debt provisions at the same relative ratios as for the full year 2022. With this, we stay fully prepared should a recessionary scenario materialize. Looking at the development of our economic net debt, I would like to highlight 3 points. First, the typical negative operating cash flow in Q1 should not come as a surprise for you. It reflects the usual seasonal pattern in our business model. We also highlighted as part of our full year call reversals from spillovers from last year. Overall, we still expect the cash conversion rate below 100% for full year 2023, which will then swing back to 100% in subsequent years. Second point I would like to mention. We accelerated our investments into the energy transition. Our group investments have increased by more than 30% in the first quarter year-over-year. And that provides us with full confidence to also achieve the significant ramp-up for the full year. Third message, our successful energy procurement strategy has led to a very limited cash outflow from margining even though energy wholesale prices dropped by around 30% in the first quarter alone. Overall, the increased economic net debt of €35.1 million is fully in line with our expectations. Let me now close today's presentation with our remaining year guidance and our midterm delivery plan. Even though we saw another significant improvement in our market environment during the first quarter, we remain cautious when it comes to the remaining year guidance, which still assumes an energy crisis scenario. We will obviously revisit this assumption as the year unfolds. Despite our cautious remaining year outlook, our strong first quarter lifts our confidence regarding the 2023 full year outturn. Therefore, we now assume to end up towards the higher end of our earnings ranges for adjusted EBITDA, net income and earnings per share. The pace on the investment side will be kept throughout the year and will lead to investments of around €5.8 billion for the green energy transition. This means that we also confirm our growth targets for 2027 and beyond. Thank you very much. And with that, back to you.
A - Iris Eveleigh: Thank you, Marc. And with that, we come to our Q&A session. And the first question comes from Harry Wyburd from Exane. [Technical Difficulty] Maybe we then go first with Wanda from Credit Suisse.
Wanda Serwinowska : Wanda Serwinowska, Credit Suisse. Two questions for me. The first one is on the 2023 guidance. You thought that you had a very strong start into Q1 this year. There are some positive one-offs embedded in your guidance, and you keep the guidance unchanged. So my question will be, what are the key [risks] From today's point of view because you seem to be very, very cautious. And the second point is on the trend in Energy Infrastructure Solutions. Can you give us any numbers for solar panels or heat pump sales? Have you seen any improvement on the supply side?
Marc Spieker : Thank you, Wanda, very much for your questions. Let me start with the '23 guidance question. So first of all, commenting on what you mentioned on the end, yes, we continue a cautious stance. And so that's what you should definitely take away that in our financial guidance for '23, we build on cautious assumptions taking into account as well that market prices could go up significantly and also temporarily with significantly increased levels of volatility. That said, you should not get carried away totally from the group performance in Q1 as compared to last year. Last year was a very difficult year for our Energy Retail business. So a lot of that is recovery. If you actually look at kind of quarterly run rates, what we delivered now in Q1 '23 is very much in line with normal years, for example, '21, '20. So if you look back further out, what we are now seeing in terms of momentum is pretty much in line with the usual buildup. And nevertheless, with the effects that we have seen in Q1, we now clearly guide to the upper end of our guidance range. And in that sense, I think we get more positive outturn and definitive in our guidance. On PV heat pumps, I don't have now Q1 numbers with me, but I think that's something that we can dig out and provide to you then subsequent to the call.
Wanda Serwinowska : Okay. Can I just make a quick follow-up on the first comment on your 2023 guidance. Can you quantify how much headwind did you bake in into your 2023 guidance? Because I don't know, €200 million, €300 million of one-offs, which I don't know if you incorporated in your 2023 guidance, which you released in March. So I'm trying to understand what is baked in -- what headwind you baked in to your guidance?
Marc Spieker : Then, if you look at the remaining run rate, we currently assume that we are more or less running on the margin levels that we had during the last 2 quarters of '22. So when most of the price increases have been implemented and so on. If I look at our success now and also managing the downturn in prices, and this is kind of the energy optimization gains, you may call them a one-off, but actually, they are reflective of how well we are synchronizing end-to-end our procurement and sales portfolio during also now the market downturn in terms of prices, we've been extremely successful in managing that. If we are able to continue that performance throughout the remainder of the year, we would be talking for Customer Solutions, set as variable. So if we should not see any change in price -- level of volatility compared to the first quarter. That would mean a significant, i.e., low to definitely mid-3-digit million euro upside because kind of the low 3 digits, which you saw in Q1, that you could easily then extrapolate for the remainder of the year. But again, we do believe that this blue sky scenario, which markets seem to price in, that's where we are a bit more cautious. But again, that for our investors should be a comfort that you do not need to worry depending on market price developments now where we will end up, we will definitely deliver our guidance.
Iris Eveleigh: We'll try again maybe this time it works.
Harry Wyburd : I think you can hear me now. Sorry about that. My Teams took a good opportunity to crash. I'm sorry if I overwrite some of ones, so please tell me if I'm asking the same one, twice. So the first one, I just wanted to ask you, you mentioned that the guidance assumes that the energy crisis is not over yet for the full year. So I just wanted to get a sense of how much buffer you've got in there. Maybe you could quantify it or what would have to happen for there to be upside to the guidance for the full year? And then the second one was just on regulation. So we talked a lot on previous conference calls about an update you're expecting in the late summer on returns and cost allowances and efficiencies. And I wondered if you could update us on what the current status is and whether there are any updates from the regulator on that?
Marc Spieker : Yes. Harry, I have to say as long as our machine doesn't break down. I think that's a better outcome. And sorry to hear that you had issues. No problems. I'll start with the regulation question. We already briefly touched on the guidance part, but I'm happy to repeat that message in brief. So on regulation, essentially from our full year call, no further update. We are still seeing that things are progressing on the various parameters, like, cost audit, the cost -- question of allowed cost of debt where we had the consultation proposal out from the German regulator. They're still not finalized in terms of putting to law, that's still to come in the second quarter. And we continue to believe that we will have all variables and parameters together during the fourth quarter. And so that will be the time when we will then also kind of draw a line. And then it says, what does the collective outcome then from the different parameters will mean. Whether that's going to be then in time for our Q3 call or something for a full year call next year needs to be seen. In any case, you should expect that we will then also make a comprehensive update of our full financial framework. So not only then kind of what would be an earnings impact, we would then also be looking at CapEx, dividend, capital structure target and so on. So you should expect once we are ready with the outcome of the German regulation, then we will also make a comprehensive update of our framework. On the guidance part, let me just repeat in short, kind of when we say we assume crisis assumptions, this cannot be operationalized in the sense it's price level of X. This is an assumption about, yes, of course, higher prices than we currently see them in the wholesale markets, but more importantly a much higher volatility. And that's what we have seen last year that in a few weeks' time, depending on market dynamics, you can incur substantial losses. You can also incur substantial optimization gains depending on how well you are able to manage your procurement portfolio. Continued experience from Q1 is we are doing an extremely good job in that respect. That's why we had the low 3-digit million euro upside in Q1 alone. And that's what I said before. If you extrapolate that solid performance for the remainder of the year, then this would be an upside of a low to mid 3-digit million euro amount for the full year '23. But again, I can't give you now a price level. This materializes at price level X. It's going to depend on how market volatility will develop in our major markets.
Iris Eveleigh: So the next question comes from Peter Bisztyga, Bank of America.
Peter Bisztyga : Yes. Just one clarification on the regulation, please. Have we got any visibility yet whether the increased cost of debt allowance is going to be backdated to 2021 or whether you're just expecting to get that from the beginning of the next regulatory period. And just switching gears a bit, we've been hearing a lot about the very long lead times for high-voltage network equipment. And I'm just wondering whether you foresee any supply chain issues that could hamper your low and medium voltage network expansion plans near term and also kind of medium term as you look out the next sort of 2, 3 years?
Marc Spieker : Peter, thanks for your questions. Let me start with the first one. Short answer is, no. Yes, we're still on it. So it's not brought over into a final legislative draft. So we're still honored to move that date forward to '22, which we think is the more appropriate start point for the cost of debt adjustment. When it comes to supply chain. Generally, what we are now seeing during the last 3 months is that supply chains have significantly improved. We've also seen that key material -- prices for material costs have come down quite significantly actually for some components reflecting that the supply chain is easing. When it now comes to high-voltage. Indeed, this is something which traditionally during the last years has seen the longest lead times up to 10 years and partly longer. Here, obviously, it's extremely important whether and what kind of improvement we see in permitting. That's also where we expect, during this year, to see significant advancements that we expect political -- politicians to act on that front quite meaningfully. But that also has to happen for us in order then to ramp up also our investment levels on high voltage levels. But we're going to learn much more is my assumption throughout this year in terms of what political will there is and how it can be implemented then in concrete legislative changes.
Iris Eveleigh: Next question comes from Vincent Ayral from JPMorgan.
Vincent Ayral : Yes. Apologies. The video is not working. At least we can get on Teams with the computer now at JP. So I hope you hear me. A couple of questions here. One is, basically, you're saying you're going to get more visibility on the regulation in Q4. And then should be in a position to update us on the CapEx, dividend capital structure, if I got you. One thing where I'm tad surprised is, you've been saying that visibility on the Easter package CapEx wave would take 12 to 18 months. So probably coming later indeed. So what should we expect several ways of potential CapEx upgrades. One coming post Q4 and another one maybe in 2024, and you got visibility on Easter package. So that will be the question one. The second, when we're looking at sort of the cost of debt, I'd just like to get clarity on what the regulator is looking at. Is it looking at providing a rate reset with the cost of debt, which is the current one for the existing investments and then separate the view for a new investment that need to be financed under current market terms? Or is it looking at somehow providing some windfall by putting current market terms on all basically the RAB returns. It makes quite a difference. So I'll be quite interested. And finally, I got a question here coming from a client. Just some color on the net debt evolution by year-end would be very welcome as well.
Marc Spieker : Vincent, you're breaking the golden two-question rule. So you leave me puzzled what I should be doing now, picking two or answer all of them. So you get crisp answers on all of them. So CapEx update, you should assume that we will not update now on a quarterly basis, our CapEx plans, but this will happen on an annual basis. And so from today's point of view, I would most like to refer you to our full year disclosure in March 2024. On cost of debt, that's straightforward. The consultation and proposal is about new investments. So any investments that will be executed. And the question tying back to Peter's question is then whether investments from beginning '24 -- 2024, should be reflected or whether also investments for the year '22, '23 should be reflected. That's the open question. Their existing historical regulated asset base has not been part of the consultation proposal at all. And so from today's point of view, then would have to wait for a reset until '28 for [gas], '29 for power. But anyhow, we believe also on the cost of equity that we do need to see a different cost of capital also for legacy assets, but that's not pending with the courts, but will not be settled this year anyhow. On the net debt, it stays with what we said as a full year. We saw significant positive one-offs in '22. That's why we're guiding for cash conversion of around 80% for this year. And if you then take the numbers together, that will mean that our economic net debt, CapEx and cash conversion underperformance this year will mean that our economic net debt will move up and we'll still stay well below the 5x debt factor target that we set out. That's on those three. But I got to remind everyone else to stick to the two. This was the exception from the rule. Now that we get other large number.
Iris Eveleigh: So the next question would come from Alberto or the next two questions.
Alberto Gandolfi : I will be highly compliant. My first question is on a piece of draft legislation that we saw published last week by the German government. It was clearly mostly on protecting energy bills for industrial clients, but it clearly put a huge emphasis on faster renewable development. And I suspect that you run the second most important electrification infrastructure in the country without which you can't deploy these renewables. So I was wondering if you had enough time to go for the draft. If you -- I know you're very involved with the government, what type of upside even, if you cannot quantify qualitatively, would you expect from all these, I call it, the German IRA. What upside do you see for your business in Energy Networks and in the Energy Infrastructure Solutions from all this policy that we're beginning to see. And the second question is very plain on retail margins. Just on the retail business, should we assume something similar between 2019, 2021. And then we're going to put on top a little bit lower procurement costs and cost cutting. So what I'm trying to say is that, should we continue to see retail margins growing in 2023 and '24 in your portfolio?
Marc Spieker : Yes. Thanks for being so compliant. On the retail margins, let me start with the second one. So what should you expect from retail margins? First of all, during 2022, that was a bit overshaded by the whole energy crisis. We delivered around €200 million of synergies from our retail business. So in that sense, I think we are in a very good state of cleaning up and keeping operations efficient. And that just makes our margin outlook from that point of view, very robust. . On top of that, I would expect the major driver actually to be that in times of absolutely higher wholesale prices. And with that sustainably higher end customer prices compared to where we were in 2019 and '20, I would expect that over time, relative margins, i.e., revenue margins, we move back and we -- you know our 2% to 4% range guidance. This is something which we, across the countries, expect to be a reasonable margin expectation to have. That we will see profits developing according to maneuvering back into this 2% to 4% corridor, then actually on a higher revenue level and then turning to a higher absolute profit level. But that is already included in our guidance which we have given. Remember that our energy retail performance was also gradually increasing in the midterm. And that's reflective of what we believe the market will bring about that normalization of margins. On upside for Energy Networks, no, I can now translate that draft -- piece of draft legislation into now an incremental specific upside. What you should just take away is that there is a lot of momentum, which just is reconfirming always the same direction, and this is that our CapEx plans and energy networks should only see upside. Our focus this year is about making sure that the economic incentive is there, that we also deploy all of that money and that we are also able to grow our delivery engine, our capacity to invest in line with the needs, which society is expressed. That's our focus for this year. And therefore, also there, I have to refer you then most likely to our full year results '24, that we are not now kind of upgrading our CapEx targets following every draft legislation. It's also not the way how we operate that business. So network development plans, you can imagine that they have a complex endeavor and require time and diligence. So we will not be now running that whole exercise on a quarterly basis that would just not be realistic.
Iris Eveleigh: Next question comes from James Brand, Deutsche Bank.
James Brand : I'll stick to the two, and well done. Good results. So firstly, I just wanted to understand the bad debt provisions that you had in your balance sheet, the €1.8 billion. Is -- and the fact that your additions are 0.7% of revenues each quarter. Is that consistent with the customer payment behavior that you're seeing at the moment, and therefore, there was a deterioration, you'd have to increase those provisions? Or there's already some headroom baked into those assumptions already for deteriorating payment behavior in the future? That's the first question. And the second is that EIS saw fairly flat EBITDA in Q1. And you mentioned in the slide in the appendix nonrecurring aperiodic effects and FX. But I was wondering if you could just give a bit more detail there because EIS should be growing without one-offs growing very quickly at the moment. So maybe you could give us a flavor of what the one-offs are and help us understand the underlying growth rate.
Marc Spieker : Yes, James, and thank you very much for the questions. One bed debt. Our bad debt provisions are a forecast exercise essentially. So we apply an expected credit loss model in which we assess what future payment behavior may be. Therefore, my question -- the question -- my answer to your question should not surprise you now when I say no, it's not consistent in the sense that we, as of today, don't see a material change in payment behavior. . Still -- when it comes to macroeconomic outlook, we still decided to keep a cautious stance in our expected credit loss assessment as we may be heading into a recessionary scenario, where in the past, we had seen deterioration of payment behaviors. However, which we see with the precautionary provisioning that we do well covered from a financial point of view. So that's what I would say on bad debt, yes. No change in payment behavior. And the increase in our bad debt provisioning is in anticipation of a possible recessionary scenario and in that sense, cautious. Second, on the Energy Infrastructure Solutions business. First of all, I would like to stress what you also mentioned that we will see, and we're now fully confident and no change in view that also this year, our Energy Infrastructure Solutions business will steeply grow. So we are still on track for this year to deliver a 10% CAGR in terms of rising asset and earnings base. When it comes now to Q1 this year, we need to be cautious about a number or a reflective of a number of things. On the one side, the development in Energy Infrastructure Solutions is a project business. So it depends on when projects are actually being commissioned and when they then become P&L effective. And that's actually a bit an anomaly that we have a number of projects that now actually were commissioned in the second quarter and very few in Q1, where Q1 typically is a bit weaker quarter in terms of commissioning but it's actually particularly weak, but it's not reflective now of an underperforming pipeline. We more see the slippages into the second quarter, which will be soonly caught up. And secondly, we do see ebbs in during last quarter Q1 already where prices had already been steeply risen even ahead of the outbreak of Ukraine war. We had seen a number of one-off optimization gains in that portfolio, which do not reoccur or have not reoccurred to the same magnitude as this was seen in Q1 this year. Those, I would say, are the 2 main reasons I would mention, yes. FX effects kind of plays on top of that as a larger part of that portfolio is in Sweden. If you look at how the Swedish krona has developed relative to euro. And that's a third element where we see temporary weakness in the euro-denominated results. So those are the 3 things I would mention.
Iris Eveleigh: The next question comes from Meike Becker from HSBC.
Meike Becker : There is one question left at this point. And it's about the seasonality throughout the rest of the year. You mentioned that Q1 was roughly in line with 2020, '21 results. What should we expect in terms of the general seasonality for Q2 to Q4? And are there any specific larger one-offs in either direction you're already aware of and can go in more details on.
Marc Spieker : Yes. Welcome. So seasonality from today's point of view, we wouldn't expect anything abnormal. And that means that you should be largely looking at the seasonality patterns that, for example, you could observe in 2021. Again, 2022, if I look at our Energy Retail business, that only provided 15% versus in a normal year, it's almost close to 40%. So that was a massive underperformance last year against the backdrop of the market development back then. So we will swing back to normal seasonality. The only thing, I think, which you then should take note of are 2 elements on the Energy Networks and Energy Infrastructure Solutions side, our earnings are investment-driven, growing. Yes, so you will see further earnings momentum from investments in our Energy Networks business. So earnings will be growing relative to prior year. Same on Energy Infrastructure Solutions, there will be growth. And on Energy Retail, it will be pretty much a question of how commodity markets will develop. If it stays a bit like the blue sky scenario, which we see right now, there will also be more upside in Energy Retail, but that's again something from a guidance point of view, we wouldn't include at this stage.
Iris Eveleigh: Next question comes from Anna Web, UBS.
Anna Webb : And congratulations on a strong set of results. I've got 2 questions. The first, a clarification on the Romanian business. Can you just clarify whether the Q1 result involves a recovery from 2022 or whether we should think of this as a new run rate for that business? And secondly, on prices, there's clearly been a big shift in wholesale prices, but what do you kind of see as the impact on retail builds. Last year, you put through some big price increases, but do you expect to be lowering retail builds this year? And if so, how much and when?
Marc Spieker : Yes. Thank you, Anna, for your questions. On Romania, which is -- from a prior year comparison see steep performance improvement, now the business is going up by almost €80 million. But keep in mind, last year, Q1 was significantly loss-making. That's where the Romanian business started to create a lot of headaches last year. That has been stabilized now. And that's why what you see in Q1 is now more or less with the seasonality pattern, again, where Q1 and Q4 are particularly strong quarters in any commodity retail business. We are back on profitability -- on profitable level and on a level which I would say is more or less the usual run rate, which you should be expecting. On prices, there, as you can imagine, is no general answer to it. This now pretty much depends on which market we are looking at. In the Netherlands, we have seen prices already coming steeply down as the market hedging behavior is rather short term. Clearly, we are looking at the U.K. market, kind of the next one where the July SVT price cap update will certainly bring about a very meaningful reduction in SVT tariffs. We also expect then that the market will reopen in the sense of that we will see more competition of competitive tariffs versus SVT tariffs. And in Germany, we are also in, I would say, transition period. We're still seeing some price increases. We have been announcing price increases to be effective as of June. But at current wholesale price levels, everything is being equal, you should also be expecting that at some stage, the German market with the longest hedge period, will then offer the opportunity for lower tariffs for our customers. So it's different market by market, but I would say across the board with the shape of the commodity curve in place, we will be seeing now cost decreases in all of our markets. It's just a question of time.
Iris Eveleigh: With that, next question comes from Ingo Becker, Kepler.
Ingo Becker : I have two questions. One, again, checking on your guidance and the other one would be a quick one on working capital. On the guidance, I think we're having a lot of one-offs here currently in the network business, which you explained very well at the full year stage. And I think the redispatch costs, if I get you right, is now just another one-off on top, which will reverse then later on. Just wondering, you had lots of network losses last year, which will reverse in the coming years. Given this sharp price decline, are you not expecting some gains on that front this year? And could that actually move your income there, not just maybe at the upper end of the range for networks, but maybe above. I hope the still contests the same question, just understanding guidance in Customer Solutions. Can we take your guidance of €1.8 billion to €2 billion EBITDA as a kind of good proxy for your absolute underlying profitability in this business right now. Or is the gains or whatever the changes in optimization distorting that figure as well? And I think that was in the previous question that was asked before. I would understand that you probably still have another cushion on top of that in your bad debt assumptions. And the question would be, if you reverse that would you really start against every day? And is it included in your declared economic net debt? I skip the working capital one for now.
Marc Spieker : Okay. Ingo, welcome. And let me start with the Networks business. So first of all, I mean you pointed out the one-offs and we just discussed -- I just want to reiterate that we are crystal clear about the nature of these effects and that they will flow back via the regulatory account, but that's for me just a matter of being entirely transparent, so that you have a good track of how the underlying business is developing. And underlying, we see a very solid growth from our investment program, and that's what we expect to continue. On network losses, indeed, there may be an opportunity that in some markets, again, the network loss topic is a matter only in select markets, that this may offer the opportunity for faster recovery. It's not something that we have entirely included yet. It's partly then depending on tariff setting. So in a number of markets tariffs have been set. So it's something which we will also update in principle, lower prices make it easier, so to say, and more likely where we had a more extended period of network losses recovery that these losses will be recovered faster. On Customer Solutions. In terms of what's the normal profit level. First of all in the -- for our Energy Retail -- so for our Energy Infrastructure Solutions business, yes, the normality should be 10% CAGR, with upside as we see the heat transition accelerating. So they are also kind of building up more and more investment opportunities on that end. When it comes to the Energy Retail, i.e., the commodity sales business, that's something where I would just remind you of a margin normalization in terms of these 2% to 4%. So we do expect over time at higher price levels that we should also see higher profit levels. And in that sense, even the €1.8 billion to €2.0 billion, if you tie that back to our midterm guidance, we still include there that we will move up also in our commodity retail business a bit more in absolute profit levels. And that's what I would say is then the normal level. So I just have a hard time to respond not to say an absolute profit level is normal. I think we need to be aware of the risks we are transforming for our customers from wholesale markets into fixed price and more stable tariffs. And that risk and the compensation for that is relative to the prices we see in the market.
Ingo Becker : As you expect the price wave that we've seen over the last 12 months, up massively and then massively down apparently that will result in temporary higher revenues and then apparently lower ones again. But into that normalization of lower ones, you would tend to see your absolute income level, at least on par with your guidance this year. If we keep AIs flat for the time being?
Marc Spieker : So first of all, we haven't -- in some of the markets like in Germany, we haven't even passed through any of the peak prices, yes. So with our hedging behavior, we have basically shielded our customers from the worst. Second, in the midst of the crisis last year, we did not immediately expand our margins. So you have seen a significant relative margin compression last year, yes. Despite of the massive price increases last year, we only delivered the absolute profit target that we had announced for '22 on much lower prices, yes. And that's something which you should not expect now is calibrating in within just a short period of time. This will require a time of 12 to 24 months depending on market to market. It will also be a question of how competition then generally will be working and acting after the energy crisis. And so that's something which will swing in. And yes, then we will see this normalization is our strong conviction in relative margins.
Iris Eveleigh: Next question comes from Piotr from Citi.
Piotr Dzieciolowski : Yes. So the first one will be on the Customer Solutions. So I think what we've seen last year was a bit of a stock in the competitive landscape -- no, competitive actions, and therefore, the churn went down and your acquisition customer costs went down. So I just wanted to ask you how much you were able to save on the acquisition cost and whether this is going to be a headwind going forward, I think kind of an absolute level in euro terms? And then a second question, on this bad debt issue, which, I guess, in a couple of the markets you have by the political actions to provide support to the customers. So is this now a function that you don't see any bad debt because the customer has essentially, you got to have -- the prices are cut and they get subsidy from the state. And therefore, we have not seen really a reflection of what that means for their wallets.
Marc Spieker : Yes, Piotr, good questions. Let me address the competitive question -- CTA question first. So we're not looking at it kind of in an isolated way, what's kind of the opportunity to save or not a cost to acquire. What is critical in this year will be what we call here internally, and we call it market opening, yes? Because we have seen now in price cap -- with price cuts were valid and were effectively shooting customers, that this had brought churn significantly down. And that was an upside in terms of isolated cost to acquire last year. But if you look at our results at the end, we delivered the target profits that we had set out prior to the target. Our focus this year will not now be in driving down or up cost to acquire as an isolated variable. For us, it's about now very closely acting and optimizing our sales channels and end-to-end with our procurement, how to now act in markets which are expected to be opening up. And we have seen the Netherlands opening up, churn rates have gone up shy of 20% in the first quarter. That's still below the levels of churn which we had in the Netherlands prior to the crisis. And then the big question is, what kind of products and tariffs can be offered and will be accepted by our customers and what's the lifetime value of such contracts. And at the end, it's going to be an NPV optimization, where we invest into acquiring customers and not. And that depends very much on what product tariffs fly in the market and how that corresponds to how we can procure in wholesale markets. And that equation, we're going to optimize very dynamically, as we have done last year. And that's why I can't give you now an answer on cost to acquire. It's going to be what's going to be. U.K. and rest assured that we will optimize the value from our customer portfolio in the best way. On bad debt, yes, what it's impact? That's the big question, and that's why we stay cautious in this respect. I think there is -- and what are the key uncertainties which we are basically looking at? I would name just 2. There are more, but 2 of the most relevant are; we need to now see how will wages adjust to the inflationary environment. And so how will also the size of the wallet change relative to the changes we've seen in energy builds, it's point number one. Point number two, we will also have to see how a potential recessionary scenario will actually affect workforce. So there are a number of people out to say this is going to be the first recession or maybe a first recession without any impact on the labor markets, yes. And this also is then a consequence on the average size of the wallet and what that would mean for energy affordability. And that's why we stay cautious because we just have to acknowledge that we are on pretty specific territory with very limited historical evidence what should happen in such a situation.
Iris Eveleigh: Next question then comes from Ahmed Farman, Jefferies.
Ahmed Farman : Just firstly, can I just clarify, Marc, your comment about the upside or the potential upside to the Customer Solutions guidance for the rest of the year? That is versus the top end. As I sort of understand, you've already given the first Q, you're already sort of looking towards the top end of the division of guidance. And then the second question, similar to your previous questions around how much is sort of underlying and how much are some of the one-off benefits. Could you just qualitatively talk a little bit about the sort of the better than sort of expected performance or versus the budget. How much is quite specific to 2023? And how much do you think would impact your medium-term outlook as well?
Marc Spieker : So on Customer Solutions guidance, happy to repeat what I said there, which is that we stay cautious with our assumptions for the remainder of the year when it comes to not only market prices but also volatility. If you were to assume in contrast a blue sky scenario where you run through this -- the remainder of the year with no further major volatility in the market, everything is fine. Then you should expect that we should be able to repeat some of the optimization successes that we have seen in Q1. And that would mean that further upside could materialize. But that's not included in our financial guidance right now, yes. Second, when it comes to one-offs, Again, that's very transparent, and I don't want to get now this notion of, oh, this is a business worth one-off that -- this gets too much traction. We were very clear in our full year results that we will see a recovery this year from lower volumes and network losses from prior years and said that this was going to have a magnitude of low to mid-3-digit million euro amount. And we also now see that due to the specific German topic of redispatch that we also have seen in the first quarter a low 3-digit million euro amount. So that means overall, now we are talking in terms of one-off effects on a full year basis at this stage about something between €200 million, €300 million and it's very transparent. We've been very outspoken about that. No further things which are happening. The rest is true underlying performance. And as I said, largely reflective of our steeply growing regulated asset base.
Iris Eveleigh: With that, we come to the last question for today from Bartek from SocGen.
Bartlomiej Kubicki : Two things I would like to discuss, please. One is the topic we haven't spoken about for quite some time, meaning the inflation. Basically, I guess, from 2023, you should gradually start seeing the inflation indexation of your TOTEX in Germany. Given the fact that in 2021, inflation already slightly increased in the country. So consequently, my question would be what is the net impact on EBITDA from inflation indexation of your TOTEX minus cost inflation in the first quarter? And what do you think it will be in the FY '23 in Germany, meaning the impact from inflation in Germany on your EBITDA and maybe you can somehow guide us for '24 where the inflation indexation will be significantly higher would be great as well. And second thing on Swedish regulation, I'm hearing that there are discussions that the regulatory framework could change in Sweden from a real one to a nominal one. So maybe if you can update us what are the discussion points right now because if the regulator moves to the nominal one, it could mean a lower up, right ? At least lower up growth, but also maybe consequently lower up if they want to convert the current drop into the book value of your assets. So maybe we can -- if we can hear your first impressions on the regulatory discussions in Sweden ongoing for the next regulatory period.
Marc Spieker : Bartek, thanks for your questions. On Sweden, it's right that the Swedish regulator has brought up ideas to significantly change the current system. While at the same point in time actually preparing for the return conditions for the next regulatory period starting in 2024. I think, content-wise, there's no major news now, except for saying that the race is now getting quite tight. So I have to say we need to be a bit realistic in how far you can actually really deliver a major overhaul of a network regulation scheme with so short time left. We talked just about 6 months' time before then actually parameters need to be set so that they can be applied into tariffs on time for '24. So I think we need to be a bit realistic. It's one point about the timing. And second point is that changing from real to nominal system per se doesn't tell me anything about whether at the end the returns will be better, the same or worse. So -- in fact, there are so many variables, which then will have to be adjusted and changed, but from today's point of view, I can't tell you whether that is a downside, an upside or whether we should just be looking at it indifferently. That's what I would say on Swedish regulation. On inflation for Germany specifically, I can't give you a number. What I can tell you is that anyhow the inflation indexation in Germany works with the time lag t+2. So whatever you see this year is a reflection of inflation rates from 2 years ago, which had been at 2% below. So it's not going to be a major impact. But generally, what you should assume is that on the OpEx side, we feel that there is no exposure in the sense that not only in Germany across the markets, inflation indexation, which are built into the regulatory systems are sufficient to also then cover rising wages and other rising costs in our P&L. So in that sense, it's for us no net exposure. But I can't give you now for Germany specific number for '23 on what kind of a gross inflation impact is. Bottom line impact is de minimis in this year.
Iris Eveleigh: With that, we come to an end for today. Thank you all very much for participating and your questions. And if there are any further questions left, we are happy from the IR side to also bilaterally clarify those with you. So don't be shy to give us a call. And with that, we'll end our quarterly call today. Thank you all very much. Bye-bye.
Marc Spieker : Thank you very much. Bye, bye.